Operator: Good morning, and welcome to Shoe Carnival's Third Quarter 2024 Earnings Conference Call. Today's conference call is being recorded and is also being broadcast via webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited. I would now like to introduce Mr. Steve Alexander with Shoe Carnival Investor Relations. Mr. Alexander, please go ahead.
Steve Alexander: Thank you, and good morning. Thanks for joining us today. Earlier this morning, we issued our earnings press release for the third quarter of 2024. If you need a copy of the release, it is available on our website in the Investors section. Joining me on today's call are Mark Worden, President and Chief Executive Officer of Shoe Carnival, Carl Scibetta, Chief Merchandising Officer, and Patrick Edwards, Chief Financial Officer. Management's remarks today may contain forward-looking statements that involve a number of risk factors. These risk factors could cause the company's actual results to be materially different from those projected in such statements. Forward-looking statements should also be considered in conjunction with a discussion of risk factors included in the company's SEC filings and today's earnings press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. The company disclaims any obligation to update any of the risk factors or to publicly announce any revisions to the forward-looking statements discussed on today's conference call or contained in today's press release to reflect future events or developments. Today's call will reference non-GAAP measures. The non-GAAP measures or adjusted results referenced exclude the purchase accounting, merger integration, and transaction costs related to the acquisition of Rogan's Shoes. A reconciliation of GAAP to non-GAAP results is included in this morning's release. And with that, I'll hand the call over to Mark.
Mark Worden: Thank you, Steve, and good morning, everyone. Before discussing results for the quarter, I would like to start today by thanking all our team members for their hard work and tireless dedication. As a result of the devastating hurricanes, Helene and Milton, the lives of both our employees and our customers were dramatically impacted. Importantly, all our team members are now safe and accounted for, and we are fortunate that we did not suffer meaningful damage to our stores. We are grateful for both outcomes. And thank you, team. Moving now to our results. I'm so proud of the profitability the team achieved in the quarter. We delivered third-quarter adjusted EPS of $0.71, which was in line with our expectations shared earlier this year. On a year-to-date basis, adjusted EPS totaled $2.19, an increase of 3.8% versus the prior year. Gross profit margin in the quarter was 36%, exceeding 35% for the fifteenth consecutive quarter. We achieved year-to-date net sales of $939.9 million, an increase of 4.9%, and year-to-date adjusted operating income of $78.4 million, an increase of 6.6% versus the prior year and growing faster than sales. The key drivers of our third-quarter profit delivery included a very strong back-to-school performance with comparable store sales growth across our banners, efficiencies in our digital-first marketing approach, the addition of Rogan's in February 2024, and the rapid progress testing our store rebanner strategy, which I will discuss in a few moments. From a top-line perspective, Rogan's continued to deliver in line with our expectations. And from a profit perspective, we further accelerated the Rogan's integration timeline and began capturing significant profit synergies in the third quarter, a full six months ahead of our previous schedule, which was to begin capturing synergies in fiscal 2025. The synergy capture in the quarter was primarily corporate and back-office support, where we had the capacity to consolidate functions ahead of schedule. Patrick will go into more details in his comments, but our ability to accelerate the capture of these savings into 2024 demonstrates our team's ability to quickly identify and capture profit synergies while also delivering on our top-line expectations for Rogan's. In addition to the profit synergies on Rogan's, we also drove leverage in our SG&A led by our digital-first marketing strategies. As we have previously discussed, our transition to a digital-first approach and away from more traditional forms of media, which began over a year ago, gives us the ability to quickly pivot and adjust spending to invest strategically and maximize engagement when customers are ready to purchase. Just as we did during back-to-school in the quarter, importantly, the inverse is also a key aspect of our digital strategy. To be flexible enough to ratchet spending down when consumers are not engaging with advertising investments at a sufficiently profitable level, such as the week surrounding hurricanes Helene and Milton. Our spending flexibility to match the customer's real-time behavior was essential to delivering our profit expectations this quarter. Turning to sales in the quarter. Back-to-school was an all-around success, led by children's and athletics. We achieved solid comparable store net sales growth. In the back-to-school weeks leading up to Labor Day, we achieved comparable store net sales growth in both Carnival and Station banners, delivered strong product margins, customer traffic growth, and transaction size increases versus the prior year. And as I mentioned earlier, our flexible digital-first marketing campaigns were very effective in driving increased customer engagement while also delivering continued profit efficiencies as we were able to reach more customers while spending less. After Labor Day in September and October, sales slowed meaningfully as a result of the two hurricanes and persistently warm weather. While we did not experience major damage to our stores resulting from the hurricanes, our business was significantly disrupted, ranging from some stores being closed for a day or two all the way to one of our stores in Western North Carolina being closed for nearly a month without electricity or water. From a high-level perspective, about half of our stores were affected to varying degrees by the hurricanes, and our customers' lives were significantly impacted as well. Understandably, shopping for shoes during these storms was simply not a priority for them. Later in the quarter, the weather remained unseasonably warm into November, delaying the start of our winter boot season. Carl will go into more details in his remarks, but as a point of reference, boots were down over 35% in the month of October, and our sandals assortment, given the very warm weather, continued to deliver sales up double digits in October. All in, the disruption from the hurricanes to our stores and our customers' lives, combined with the lack of a boot season in the quarter, were the primary drivers of sales performing about $10 million below our goals in the back half of the quarter. Now shifting to thoughts on the balance of the year. Today, we revised our full-year sales guidance given the sales performance in the third quarter. We anticipate customer purchasing behaviors during non-event periods, which we are in now until the holidays, will continue to be in decline across the industry. And while the winter boot season was delayed out of the third quarter due to the warm weather, I expect trends to improve materially when the weather turns cooler and we enter the winter holiday event period. Consistent with last quarter, we anticipate the lower side of our guidance range is the most likely outcome considering where we stand today. But if boot trends turn to significant growth once the weather gets cold and strong holiday results are achieved, then the mid to higher side of the range is a possible outcome. As I said, I believe the lower end is most likely, as persistent warm weather has continued into early fourth quarter. We also reiterated our fiscal 2024 EPS guidance range. Based on our strong margins and profit delivery in the third quarter and year-to-date, Patrick will go into more details on guidance, but I'm proud of the team for delivering such strong profit results in the third quarter in the face of many unexpected weather challenges.
Mark Worden: I would now like to take a few moments to discuss two core growth strategies that support our vision to be the nation's leading family footwear retailer. One of those core strategies is profitable M&A activity. Rogan's, which we acquired in February 2024, continues to deliver top-line results in line with our expectations. And as I discussed earlier, we achieved full run-rate synergies in the quarter, six months faster than we anticipated. With integration largely complete and full synergies now being captured, the team is turning to building out our Shoe Perks CRM program in the Rogan stores, which we just rolled out, and are mining customer data for new growth opportunities in the years ahead. Shoe Station, which we acquired in December 2021, continues to deliver strong sales growth year over year since the acquisition, along with profitable results that are accretive to our bottom line. In addition to being a profitable acquisition, the Shoe Station brand, product assortment, and in-store shopping experience make Shoe Station a key component of a second core growth strategy, which is to grow our existing business. One of the primary focus areas in this strategy is to evaluate data on community characteristics, purchasing trends, product assortment, and mix at a store level. As part of that analysis, we have defined existing Shoe Carnival locations where the customer and real estate characteristics are better aligned with Shoe Station. As I discussed on our last call, we rebannered three stores from Carnival to Station during the second quarter in the core Station markets of Alabama and Mississippi. The results were very encouraging, surpassing our expectations early on and continuing to do so in the third quarter. During the third quarter, we expanded the testing of this strategy by rebannering seven more stores, bringing the total number of rebannered stores to ten. Our focus on this round of testing was to further validate that rebannering stores in core markets is profit accretive and test expansion into additional Southern markets where Shoe Station is present or known, but not the market leader. With the addition of these seven newly rebannered stores, we entered multiple new Station markets in Florida, Alabama, and Mississippi, along with the state of Tennessee. It's still early days on these seven stores, but the results are promising. Our success criteria for rebannered stores are plus 3% to 5% sales and profit growth, and based on the first ten stores, we are very encouraged with the early results. The stores with more than one fiscal month of operating history have delivered a total sales and profit increase of over 10%. We will continue to learn from the rebannered stores during the fourth quarter and the important holiday shopping period, but it is very clear that these stores are significantly outperforming as Shoe Station banner stores compared to their performance prior as Shoe Carnival stores. As such, we plan to further expand the testing by rebannering an additional 25 stores in the first half of fiscal 2025. The markets currently planned are in the South and include new Shoe Station markets in Tennessee, Florida, Alabama, Mississippi, Louisiana, Georgia, and possibly Kentucky and the Carolinas. With this round of testing, we plan to further test the success of this strategy by expanding it to markets outside of Alabama and Mississippi into markets further away from where the Shoe Station brand is known. With the additional 25 stores planned in early 2025, the number of rebannered stores will total 35 and represent approximately 10% of Shoe Carnival stores that will have been rebannered during the first phase of our testing. We see this strategy as a potential long-term source of growth, and I look forward to providing an update on our next earnings call as well as our expectations for 2025 impact and thoughts on potentially expanding testing further geographically in the years ahead. I'd like to thank our team for their spirit of innovation and reimagining ways to better meet our customers' needs. This new strategy is energizing teams, delighting customers, and early days are very profit accretive. Before handing it over to Carl, I'll summarize with a few closing thoughts. We delivered a very profitable quarter in EPS that was in line with our expectations, led by successful back-to-school, strong margins, and continued efficiencies in our successful digital-first marketing approach. Rogan's delivered top-line results that were in line with our expectations for the quarter, and we accelerated the integration and delivered full profit synergies in the quarter, six months ahead of schedule. As part of our store rebanner strategy, we expanded testing in the quarter with seven additional stores, bringing the total number of stores to ten. We continue to be encouraged by the early results and currently plan to further expand the strategy by rebannering 25 additional stores in the first half of fiscal 2025. And as we announced in October, Carl Scibetta has decided to retire during the spring of 2025 after over 50 years in the retail industry and over a decade of service to Shoe Carnival. I'd like to thank Carl for his partnership over the last decade as well as his valuable leadership, his friendship, and many contributions to Shoe Carnival's successful growth during his tenure. The process to select Carl's successor is underway. We plan to share further information at the appropriate time in 2025. We are grateful that Carl will remain with the company and close out fiscal 2024 and facilitate a smooth transition during fiscal 2025. And now, I'll hand it over to Carl. Carl?
Carl Scibetta: Thank you, Mark. I appreciate your kind words and have very much enjoyed working with you and the team over the last decade. And I look forward to closing out the year strong. As you discussed, we delivered a strong back-to-school season with comparable store sales growth led by mid to high single-digit growth in children's and athletics. In September and October, sales slowed as the two hurricanes disrupted our business and impacted our customers. The weather also remained persistently warm in October, resulting in a boot season that was delayed out of the third quarter. From a category perspective, athletics performed well, growing low single digits in the quarter with growth in women's and children's, partially offset by a decline in men's. In the third quarter, which historically has represented about one-third of our entire winter boot season, we were down over 35% in the month of October and over 30% in the third quarter with declines in women's, men's, and children's. In the quarter, we again delivered a gross profit margin above 35% for the fifteenth consecutive quarter, and we remain committed to our targeted CRM strategies to continue delivering sustained gross profit margin performance. Our merchandise margins in the quarter increased by approximately 50 basis points versus the prior year, and on a year-to-date basis, our merchandise margins are even with the prior year. Inventory at the end of the quarter totaled $406.6 million, an increase of $38.3 million versus the prior year, primarily reflecting the impacts of the Rogan's acquisition in February 2024. Excluding the impacts from Rogan's, our merchandise inventory at the end of Q3 was lower by approximately 1% on a dollar basis than the prior year, and on a unit basis, merchandise inventory was down approximately 3% versus the prior year. Now moving to sales and categories for the quarter. Total Q3 comp sales were down 4.1%, which reflected weakness in boots that was partially offset by growth in athletics driven by a strong back-to-school performance. From a category perspective, total adult athletic comp sales increased low single digits in the quarter. Comp sales in women's adult athletics were up high singles, led by court and basketball, partially offset by a decline in skate. Comp sales in men's adult athletics were down low singles, with declines in skate and running, partially offset by strength in court and walking. Children's comp sales were down low single digits, but athletic was up low single digits, led by court, and non-athletics were down high single digits. The children's non-athletic performance is primarily due to softness in boots, which were down over 30% in the quarter. Third-quarter comp sales in women's non-athletic footwear were down mid-teens. Dress and casual were both down high teens, and sport was down low single digits. Sandals were down high single digits, and boots were down over 35% in the quarter. Men's non-athletic comp sales were down mid-single digits. Dress was down low double digits, and casual was down low single digits. Men's boots were down high single digits. Coming out of the quarter, inventory content is clean and in good position. Specifically, our boot inventory is over 15% lower than the prior year, and with our strong vendor relationships, the team has been able to adjust receipts based on category trends to date, and we are on target to finish the season in line with our boot inventory plan. In closing, we achieved a strong back-to-school performance led by children's and athletics in the quarter. Sales in September and October slowed due to the impacts of hurricanes on our business and our customers, and the persistently warm weather resulted in the winter boot season being delayed out of the quarter. Despite these significant impacts to sales after Labor Day, we delivered a very profitable quarter with strong margins, and our inventory is well-positioned to continue providing the product assortment, mix, and values that our customers want. And with that, I'll turn the call over to Patrick for a review of our financials. Patrick?
Patrick Edwards: Thanks, Carl. Moving on to our financial results. We were pleased to deliver EPS in line with expectations for the quarter and grow our year-to-date top line and EPS compared to the prior year. As a reminder, the fifty-third week in fiscal 2023 will not recur in fiscal 2024. And as a result, the retail calendar weeks in each quarter shift in 2024 as compared to the prior year. This shift benefited second-quarter net sales by approximately $20 million and unfavorably impacted our third quarter by approximately $20 million. On a year-to-date basis, comparisons to the prior year now incorporate material elements of the shift between these two quarters. In the third quarter, net sales totaled $306.9 million, down $13 million compared to the prior year, or 4.1%. This decrease was due to the $20 million retail calendar shift. In the quarter, net sales otherwise increased $7 million or 2.2% compared to Q3 last year. On a year-to-date basis, which now includes the material impacts of the retail calendar shift, net sales totaled $939.9 million, an increase of 4.9% versus the prior year. Now going into a little more detail on the top line in the quarter. Net sales were led by strong back-to-school performance and comparable store sales growth across our banners in August. Net sales in the quarter were also favorably impacted by Rogan's, which we acquired in mid-February of this year. I'll discuss Rogan's sales activity and integration successes in more detail in a moment. Net sales in September and October were significantly impacted by the two hurricanes that disrupted many of our store operations and customer shopping trends. Net sales were also negatively impacted by persistently warm weather that delayed a meaningful start to the winter boot shopping season out of the third quarter. On a comparable store sale basis, which excludes the impact of the retail calendar shift, Rogan's sales, and other new store growth, net sales in the third quarter declined 4.1% as impacted by August back-to-school low singles comp growth and the weather-related declines in September and October. Comparable store sales in these two months were down high singles compared to last year's combined September and October, with boots driving about half of the decline. For the entire quarter, the slower boot sales also drove about half of the 4.1% comparable store sale decline, partially offset by continued strength in athletics. Q3 gross profit margin was 36% compared to Q3 2023 gross profit margin of 36.8%, declining 80 basis points compared to last year's third quarter. The decrease was primarily due to BD&O costs, which increased in the quarter on higher occupancy costs from operating more stores and deleverage as impacted by the retail calendar shift. On a year-to-date basis, gross profit margin was even with the prior year, consistent with our expectations and full-year guidance. For the quarter, merchandise margins were up 50 basis points as Carl discussed, and on a year-to-date basis, merchandise margins were flat to the prior year, consistent with our overall gross profit margin and in line with expectations. As a percentage of net sales, SG&A was 28%, reflecting a 10 basis point decrease in the quarter, even with the lower shifted net sales. SG&A in Q3 was $85.9 million, representing a decrease of $3.9 million versus 2023's third quarter, primarily related to lower selling costs at Shoe Carnival and Shoe Station stores. As Mark discussed, these lower selling costs reflect optimized advertising spend driven by our digital-first marketing strategy. These lower selling expenses more than offset the cost of operating Rogan's stores in the quarter. Now going into more detail on the accelerated integration. We are very happy with how the Rogan's acquisition has performed, with net sales approximating $22.3 million in the quarter and $63.9 million year-to-date, in line with our full-year expectation. We continue to expect Rogan's to deliver annual net sales of over $80 million in fiscal 2024. We have completed the integration of store operations, marketing, commerce platforms, point-of-sale systems, merchandising, and back office. With respect to customer-facing technology, Rogan's customers can now participate in Shoe Perks, our customer loyalty program, and toward the end of the third quarter, we integrated the Rogan's e-commerce platform into Shoe Station's. For Rogan's customers, these changes expand merchandise selection and provide access to other new benefits. As Mark discussed, we captured significant profit synergies in the quarter, six months ahead of our previously expected schedule, which was to generate savings beginning in fiscal 2025. We currently estimate Rogan's synergy capture of over $1 million in fiscal 2024, with a significant portion of that total banked in the third quarter. Our estimate for total Rogan's profit synergies continues to be approximately $2.5 million, with approximately half of that total now expected to be captured in fiscal 2024. Moving back to results in the quarter. Operating income totaled $24.5 million, a decrease of $3.4 million versus the prior year on a GAAP basis and a decrease of $3 million on an adjusted basis, as impacted by the lower net sales from the retail calendar shift, partially offset by growth principally from the Rogan's acquisition and related profit synergies, as well as lower SG&A. Year-to-date adjusted operating income totaled $78.4 million, increasing 6.6% versus the prior year. On a GAAP basis in the quarter, operating income included approximately $300,000 of merger and integration expenses related to the Rogan's acquisition, of which approximately $200,000 was in cost of sales and $100,000 was in SG&A. Year-to-date, these expenses totaled $1.3 million, with approximately $800,000 in cost of sales and $500,000 in SG&A. Our income tax rate in the quarter was 24.7%, resulting in a headwind to EPS of approximately $0.01 per share versus the prior year third quarter rate of 23.8%. This higher rate primarily reflected discrete benefits that favorably impacted the prior year and did not recur in 2024. Year-to-date, our tax rate is 25.5% in fiscal 2024 compared to 23% last year, a headwind to the year-to-date EPS of approximately $0.07. On a GAAP basis, net income for the third quarter of 2024 was $19.2 million or $0.70 per diluted share and in line with expectations. On a year-to-date basis, GAAP net income and EPS have increased 2.2% and 1.9% respectively versus the prior year. On a non-GAAP basis, excluding the Rogan's acquisition-related costs, adjusted net income for the third quarter was $19.5 million or $0.71 per diluted share and in line with expectations. On a year-to-date basis, adjusted EPS totaled $2.19, an increase of 3.8% versus the prior year, even with the challenging market conditions experienced in September and October. The 2023 fiscal year-end marked the nineteenth consecutive year the company ended the year with no debt, and through the third quarter of 2024, we have continued to fund our operations and growth investments from our operating cash flow and without debt. At the end of the quarter, we had total cash, cash equivalents, and marketable securities of approximately $91 million, an increase of $20 million versus the third quarter of 2023, even with the all-cash acquisition of Rogan's earlier this year. Cash flow from operations year-to-date in fiscal 2024 totaled $58.1 million. Our strong balance sheet and history of generating steady operating cash flow are key drivers to internally fund our growth objectives, including our emerging rebanner strategy, profitable M&A, as well as to deliver dividends and, when desirable, share repurchases. During the quarter, we did not repurchase any shares and had $50 million available under our current share repurchase program. Inventory at the end of the quarter totaled $406.6 million, an increase of approximately $38 million versus the prior year, primarily reflecting Rogan's acquired inventory. As Carl discussed earlier, our inventory content is clean and in good position, including boot inventory. Including the newly rebannered stores in Q3, at the end of the quarter, we operated 431 stores, with 361 Shoe Carnival stores, 42 Shoe Station stores, and 28 Rogan's locations. One new Shoe Station store opened in Q3, entering Tennessee, an expansion into a new market for the banner. And as Mark mentioned, we plan to rebanner 25 additional stores in the first half of fiscal 2025. Moving on to our 2024 outlook. Based on year-to-date results, inclusive of third-quarter profitability that was in line with expectations, and net sales that were lower than expectations, today we provided the following fiscal 2024 guidance ranges. We now expect full-year 2024 net sales in a range of $1.20 billion to $1.23 billion, reflecting growth of 2% to 4.5% versus fiscal 2023. We continue to expect gross profit margin to be approximately even with this year. We now expect SG&A as a percentage of net sales to be approximately 30 basis points higher than fiscal 2023, compared to our previous guidance of 40 basis points higher. This improved guidance is driven by expected synergy capture and third-quarter operating expense management. We now expect our income tax rate to be lower than our previous guidance at approximately 25.6% to 26%. Our previous guidance was a tax rate of 26%. We continue to expect GAAP EPS to be in a range of $2.60 to $2.75. Going into a little more detail on our revised guidance and what it means for the balance of the year. We are currently in a non-event buying period until we get to the holidays. As Mark discussed, we expect that customer purchasing behavior during non-event periods will continue to be in decline across the industry. We continue to monitor customer buying behavior closely during this period before and after the holiday season and pivot accordingly. While we see a path to achieving the higher side of our net sales guidance and the higher side of our EPS guidance, consistent with last quarter, we anticipate the more likely outcome is the lower side of both ranges. Unless, as Mark pointed out, we have a record boot season and holiday to close out fiscal 2024. Our guidance assumes fourth-quarter growth from Rogan's and Shoe Station new stores and a comparable store sale decline led by Shoe Carnival brick-and-mortar stores, consistent with the low to mid-single-digit comparable store sale decrease experienced in the quarter and year-to-date. At the lower side of our guidance range, in Q4 2024, the loss of the fifty-third week and the retail calendar shift will result in the loss of approximately $20 million in net sales compared to the prior year. We estimate the retail calendar shift and the loss of the fifty-third week will be a headwind to EPS of approximately $0.10 in the fourth quarter compared to the prior year fourth quarter when we earned EPS of $0.57. To close, we delivered a profitable third quarter and EPS that was in line with the expectations set in our last earnings call. We are very proud of the team and the teamwork it took to achieve this for our shareholders. The achievement was driven by a very successful August back-to-school and overcoming subsequent softness in market demand caused by two disasters that affected about half our stores and that changed the landscape of consumer spending. In addition to very warm weather that delayed our boot season, lower boot sales were about half of our comparable store sale decline in the quarter. We pivoted in the quarter to accelerated synergy capture and expense management to offset the slower-than-expected September and October market conditions. With respect to our outlook for the remainder of fiscal 2024, we lowered our sales guidance given the September and October market conditions and reiterated our EPS guidance. We now expect lower SG&A as a percent of net sales given synergy capture in Q3 expense management. And while our tax rate is higher than last year, we are now anticipating it will be lower than originally expected. We are excited about our product assortment for the holiday and our plans to drive traffic and profitability in the fourth quarter. Our strategy to drive long-term growth remains unchanged. Our strong balance sheet and solid, steady cash flow put us in a great position to continue to fund internal growth, including our emerging rebanner strategy, to execute on desirable M&A opportunities, and most importantly, the continued ability to deliver long-term shareholder return. This concludes our financial review. Now we would like to open up the call for questions. Operator?
Operator: Thank you. If you have a question, please press star one on your telephone keypad. Simply press star one again. In the interest of time, we ask that you please limit yourself to one question and one follow-up. Our first question comes from the line of Mitchel Kummetz with Seaport Research Partners. Please go ahead.
Mitchel Kummetz: Yes. Thanks for taking my questions. And, Carl, congrats, and best of luck to you. And, unfortunately, I'm going to break your rule about one question and one follow-up. I've got maybe a handful here. So let me start. Just Mark, on the hurricanes, is there any way to quantify the sales impact from those two hurricanes? And I'm curious, have you seen any, you know, replacement buying kick in of late as far as those impacted markets? That's my first question.
Mark Worden: Good morning, Mitch. Thanks for the question. When you look at the losses, I think Patrick summed it up well. About half of our loss came from that persistently warm weather and boot decline, with boots down over 35% specifically in the month of October. The other half, not all of it, but most of the other half would come from the hurricane disruption we had from about half of our fleet during the hurricane Helene and Milton. So roughly half and half.
Mitchel Kummetz: And then how about replacement buying? Anything there? Are you seeing any benefit from that?
Mark Worden: We have not yet. You know, we still believe as the weather turns cold, people will be rethinking about the lost boots, the lost product that they suffered during some of these catastrophic storms in the South. So we remain optimistic that once it gets colder, and people really start to pivot from recovery mode, which they've been in for the last, you know, six to eight weeks, to starting to think about more joyful things. The holiday, time with families together. They'll start to think about repurchase and things they need to do. You know, whether they lost that dress shoe, so they can go to a special Thanksgiving next week or holiday gifting. We think that is ahead of us. We remain optimistic, as you could see in our guidance, that a profitable quarter remains ahead of us.
Mitchel Kummetz: And then on boots, obviously, a slow start as you've detailed. What is your expectation for the fourth quarter? And Carl, I'm curious. Do you see any pent-up demand potentially benefiting you in the fourth quarter, given the slow start? Or is that just lost business?
Carl Scibetta: Hi, Mitch. We certainly believe there's some pent-up demand that's going to come our way in the fourth quarter. However, we don't see any recovery from the lost business in Q3. And while we are planning Q4 in our guidance, we are still planning boots down and managing that boot inventory down in Q4, much less than we did in Q3, but we do not see any recovery nor do we see boots turning positive in the quarter.
Mark Worden: Mitch, I'm not real quick to Mark. Quite, you know, we're only a couple of weeks in, so I can't share how the holiday's going to play out. But that persistent warm weather I spoke about, it continued to now. So boots have not started to turn to that positive place we expect it coming. And while we're no weather forecasters, cold weather is coming. Winter is coming, and we do anticipate growth then. But you know, as you all know, the highly accretive margin capture was not made in these early weeks. And so that's going to make it very unlikely it's a record boot season. It will be strong, but it's getting shorter by the week before it kicks in.
Mitchel Kummetz: And it sounds like your boot inventory coming out of Q3 is in pretty good shape. And I'm guessing that as we're early in Q4, you've been able to kind of continue to work down those receipts as the weather hasn't cooperated?
Carl Scibetta: Sure. Sure, Mitch. The team did a great job planning the boot season out, holding back on some recent Q4 receipts so they can get a good glimpse at what was going to happen. That, on top of the fact that our partners have really come to the table and helped us. We believe we're going to be in great boot position coming out of the quarter. And we're in a great position to take advantage of what's remaining in the season right now. So very pleased with the way the team managed this. They did an outstanding job handling the boot season this year.
Mitchel Kummetz: Okay. And then a couple last ones. Maybe sort of big picture on the sales guide. It looks like the low end of the range is down $30 million, and that would seem to factor in Q3 coming in about $13 million below plan, which would suggest that, you know, maybe the fourth quarter is looking about $17 million worse than prior expectations. First of all, I don't know if you want to confirm my math, but I guess more so, you know, what's changed in terms of your outlook for Q4 versus sort of prior expectations and how much of that is, you know, what you're seeing quarter to date with boots?
Mark Worden: Yes, Mitch. We anticipate, you know, the mid to low side of the guidance being likely. The big change you've characterized it accurately, we're building into the lower side of the revenue forecast that persistently warm weather has continued through today as we speak, and so the boot season is getting shorter and shorter for positive impacts and revenue impacts. We've built that in to say it turns, but it hasn't turned yet. But I want to reiterate if boots really kick in next week when the holiday season starts in earnest, the mid to upper side of our guide remains squarely in reach. And if we have a great holiday, we have great confidence that we have in our sights the profit delivery.
Mitchel Kummetz: And then, Mark, maybe lastly on the rebanner, I know you're still super early in the process, but is there anything that you're seeing now that you've moved outside of Alabama in terms of the performance of the rebannered stores, Alabama versus, you know, non-Alabama?
Mark Worden: Yes. Thank you. We are very excited about this for a long-term growth strategy. The first test, inclusive of the ten stores, showed us explosive results in markets where the Shoe Station brand is known. We were operating Shoe Carnival far stronger than plus 10% sales and profit. As we get further away and we're building brand awareness, we're still seeing very strong results with over 10% sales and profit. But now we're starting to enter new markets, like the state of Tennessee. We're very excited. We've just rebannered two stores in the state of Tennessee and opened a new one. And progressing in earnest in 2025 with rebannering in Tennessee. They're still showing promising results as well. But our expectation is we get further and further away from the mothership of Core Alabama, we get closer and closer to our success criteria, which is in that plus 3% to 5% sales and profit range. We're still doing better than that now, but as we branch further and further into those new states I mentioned, we would anticipate things get incredibly profitable, strong leverage, and a significant outperform compared to, say, the Shoe Carnival low to mid-single comp declines are flipping that dramatically. But I would set the stage as for these early learning, the 3% to 5% range is probably a more likely anticipation. We hope to beat it. A lot more to learn when we rebanner 25 more in all these new markets during Q1. But it is a big winner so far.
Mitchel Kummetz: Great. Thanks, and good luck for the holiday.
Mark Worden: Thank you, and happy holiday to you, Mitch.
Operator: Our next question comes from the line of Sam Poser with Williams Trading. Please go ahead.
Sam Poser: Good morning. Thank you for taking my question. I just want to verify one thing and then ask another question. Did you say on prior earnings calls that Rogan's was expected to do $84 million? Is that, has Rogan's guidance changed, or is it just a, are you wording it differently?
Patrick Edwards: Hi, Sam. Good morning. We have said that. There's no change. It's still over $80 million. We still expect it to deliver that.
Sam Poser: Thank you. And then your inventory levels are higher than I anticipated going into the quarter, taking into account. When we get to the end of the year, what's it going to look like? And have any of the inventory receipts or planned receipts going forward been impacted by the potential for tariffs? And I also want to know what your thoughts are about tariffs within your mix and how you're thinking about that going into 2025.
Patrick Edwards: Hey, Sam. It's Patrick. I'll take the first part of your question about our inventory balance and pass it off to Carl to talk about tariffs. Our inventory balance, we expect it, it's right now, it's 3% down on a unit basis, 1% down on a dollar basis. We do see current reductions in that by the time we get to the end of the year. But that balance reduction won't be as great as previously disclosed. This rebanner strategy that we're very excited about requires us to carry a little bit more inventory and invest in those hot brands that Shoe Station sells and having them ready for rebannering these 25 stores in the first quarter requires us to carry a little bit more inventory at year-end.
Carl Scibetta: Sam, on the tariff front, no. It seems to be the topic of conversation at every vendor appointment we have. We're watching it closely. We direct import, you know, ourselves a very small percentage of our own inventory. So we'll see how that gets affected. And how the vendors, if indeed the tariffs come across at whatever they come, we'll have to be very careful about pricing to our consumer, and certainly look at where products are being made and how we can best provide the value that our consumers are used to at this point. But at this point, we're like everybody else. We're watching it very carefully. And we will adjust where we need to, but most importantly, continue to attempt to deliver value to our customers.
Sam Poser: What percent exposure of your purchases or sales, however you want to talk about it, do you have to China right now?
Carl Scibetta: The percentage of our own imports from China, I'm talking about total. I'm talking about total, like from the brand. You know, Sam, I don't have that number. I would say it's less than 50% because the majority of the athletic product is coming out of countries other than China, and I would say on the non-athletic side, it's probably 60/40 in China. But as you put it all together, it'll be less than 50%.
Sam Poser: Thanks. And congratulations, Carl. We're going to miss you.
Carl Scibetta: Thanks, Sam.
Operator: Our next question comes from the line of Jim Chartier with Monness, Crespi, Hardt. Please go ahead.
Jim Chartier: Hi. Good morning. Thanks for taking my question. So it looks like your SG&A is coming down about $5 million from where it had previously. In addition to the, you know, the Rogan synergies and some advertising savings, what are the other key components of that?
Patrick Edwards: Hey, Jim. It's Patrick Edwards. You're spot on on the synergy concepts, and you're spot on on the digital-first marketing strategy, the flexibility that it brings. Those are the two and really only variables that we were able to press on in the quarter in order to do that expense management synergy capture to bring our EPS in line with our expectations.
Jim Chartier: And is that the same kind of component for the fourth quarter? Any SG&A savings in the fourth quarter would be those two components as well?
Patrick Edwards: Yeah. Sure, Jim. The fourth quarter, obviously, there's a wide range on sales, plus or minus $30 million, I believe. So we are able to manage those two levers reasonably well, especially the advertising. When demand is there, we're going to ramp that up. And if we see weak demand during non-event periods, like we did this quarter, we'll be less in the market with our advertising.
Jim Chartier: Okay. And then in terms of the rebanner opportunity, how many stores kind of fit the Shoe Station profile from a demographic and then store size standpoint?
Mark Worden: Hey, Jim. It's Mark. We don't know how wide the legs to the strategy go yet. We know it's resonating across the South. Now we're going to push that limit further into these new states, further and further where the brand is not known. The next 25 stores that we complete in the first half of next year will help us answer that question. I can give you one thing. We're very confident that we're going to have over 100 Shoe Station stores near term and ahead of what we previously disclosed as a 2028 objective. Rebannering is rapidly accelerating that expectation, and as we get into guidance next year, we'll be able to be far more explicit as we get into these new states. But we see the opportunity as significant. We see the opportunity as potential to go beyond just Alabama and Mississippi profitably. And we're going to learn by, you know, early next year if this thing has legs to go beyond, you know, those core markets into new places like Kentucky, the Carolinas, Atlanta, and even further beyond that. Don't have those answers yet, but we're excited with what it is delivering so far.
Jim Chartier: Great. Thank you, and, Carl, best of luck to you.
Carl Scibetta: Thanks, Jim.
Operator: At this time, there are no other questions. I will hand the call back over to Steve Alexander for closing remarks.
Steve Alexander: Thanks for joining the call today. We're available all day if you have any follow-up questions, and I'd like to quickly hand it over to Mark as well.
Mark Worden: Hi. As we wrap up 2024, I just want to take a moment to wish all of you and your families a happy holiday. I hope you have a safe and enjoyable time ahead, and we thank you so much for your time spent getting to know Shoe Carnival. Spending time with us in person, in NDRs, on the road, or wherever we may have joined you, it's just been a call. Best wishes from Shoe Carnival to all of you.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect.